Operator: Excuse me, everyone. We now have Sean Reilly and Keith Istre in conference. Please be aware that each of your lines is in a listen-only mode. At the conclusion of the company's presentation, we will open the floor for questions. In the course of this discussion, Lamar may make forward-looking statements regarding the company, including statements about its future financial performance, strategic goals, plans and objectives, including with respect to the amount and timing of any distributions to stockholders. All forward-looking statements involve risks, uncertainties and contingencies, many of which are beyond Lamar's control and which may cause actual results to differ materially from anticipated results. Lamar has identified important factors that could cause actual results to differ materially from those discussed in this call in the company's first quarter 2016 earnings release and its most recent annual report on Form 10-K as updated or supplemented by its quarterly report on from Form 10-Q. Lamar refers you to those documents. Lamar's first quarter 2016 earnings release, which contains information required by Regulation G regarding certain non-GAAP financial measures was furnished to the SEC on a Form 8-K this morning and is available on the Investors section of Lamar's website, www.lamar.com. I would now like to turn the conference over to Sean Reilly. Mr. Reilly, you may begin.
Sean Eugene Reilly - Chief Executive Officer: Thank you, and good morning, everyone, and welcome to Lamar's Q1, 2016 earnings call. 2016 is off to a great start. For the full year, we see real acceleration in our pacings. Q2 is pacing measurably better than Q1, and Q3 is pacing better than Q2. So, we're feeling very good about how 2016 is shaping up. The integration of the new Clear Channel markets is ahead of plan and their performance is also exceeding expectation. Consequently, as we sit today, we're confident that we are tracking comfortably at the top end of our AFFO per share guidance, which is approximately $5 a share. I will now turn it over to Keith to walk through the numbers.
Keith Istre - Chief Financial Officer & Treasurer: Good morning, everybody. Just a couple of bullet points with respect to the press release. On the first page of the release, at the very top, we have the results for the quarter, the three-month results and then the pro forma results. I'd just like to make sure everybody is clear the three-month results are our results, actual Q1 of last year compared to the company's results for Q1 of this year and that includes the Clear Channel markets that we acquired in the first quarter. We did not have those markets, obviously, last year in Q1. The three-month pro forma results, as has always been our practice, we fold in the performance of any acquisitions that we make into our history – our core history and then we compare our results against our history. And so, the three-month pro forma results include the performance of the Clear Channel markets that we acquired in Q1 of 2015 compared against our performance in Q1 of 2016. A note on our consolidated expense growth in the quarter, it increased 2.3%. That's a little higher than we normally run. We're normally at about 2% or sub-2%. There was a $1 million worth of severance that the company paid out in Q1 that was related to the Clear Channel acquisition. That was a one-time event and that's over going forward. Without that $1 million, our consolidated expense growth would have been 1.8%, which is generally the range that we've been running. Last, the AFFO, which is on page eight of the release, the last page. I'd just like to mention that on the maintenance CapEx, we were down for the quarter over last year about $7 million. The CapEx that's spent is mainly determined – the timing of is determined by the operations guys in the field. Corporate allocates the capital at the beginning of each year and the profit centers decide when they're going to actually spend that depending on the need, the weather, et cetera. So, you may see some peaks and valleys in that number. But just to make sure everybody knows, our target maintenance CapEx for the year is $45 million and we track that very closely here at corporate to make sure that we do not go over that number on an annual basis. With that, I'll turn it back over to Sean.
Sean Eugene Reilly - Chief Executive Officer: Great. Thank you, Keith. Let me hit just a couple of the operating metrics that we usually cover on these quarterly calls. We ended the quarter with 2,488 digitals up and operational. Of course, a good chunk of that increase came from the Clear Channel acquisition. In fact, 171 of them came from the Clear Channel acquisition and 33 were put up organically. The story on same-store revenue for digital units is quite good. We were up same board, 3.4% and very pleased to see that performance give us a great deal of confidence going forward as we continue to deploy in 2016. We anticipate something around 150 greenfield new units this year and we feel comfortable since we're seeing that kind of performance. On local and national, the local book was up 4.5%, outstanding strength in Main Street, USA. National was actually down about 1%. That was primarily in the auto category where we had a spot buy drop out on us unexpectedly. But for that, it would have been flat and that's kind of what we were expecting on the national side. Going forward, national is much stronger in Q2 than Q1. And speaking of the categories, we had some real good performers. Restaurants were up 4%. Service was up 13% and is now 12% of our book. Hospitals and healthcare was up 7%. And real estate continued its recovery. Real estate was up 12% Q1 2016 over Q1 2015. So, in terms of our large verticals, but for the one spot buy that dropped out in the first in automotive, all of our top verticals are performing very well. And the automotive category is going to perform well the rest of the year. That was a little bit of an anomaly. So, with that, I'll – happy to open it up for questions.
Operator: Thank you. At this time, we will open the floor for questions. Our first question will come from Marci Ryvicker with Wells Fargo.
Marci L. Ryvicker - Wells Fargo Securities LLC: Sean, you talked about Q2 and Q3. I guess, the first question is how much visibility do you have into both quarters? And when you say they're measurably better, are they mid-single digits or just above the 2.6% but on that low-single-digit range?
Sean Eugene Reilly - Chief Executive Officer: We're in that mid single-digit ZIP code. So, we feel good.
Marci L. Ryvicker - Wells Fargo Securities LLC: What's driving it?
Sean Eugene Reilly - Chief Executive Officer: Locally, it's strong...
Marci L. Ryvicker - Wells Fargo Securities LLC: Is it national recovery?
Sean Eugene Reilly - Chief Executive Officer: Again, we had that one spot buy drop out and that customer is coming in the rest of the year. So, it was a little bit of anomaly. And keep in mind, in the first, we were comping against 5.2% up, right? So, a pretty tough comp and the book is strong. I mean, I think you're going to hear from – you've heard it from Clear and you're going to hear it, I think, from OUTFRONT that the national book is firming up and, in our case, the local book is likewise, exceeding our expectations.
Marci L. Ryvicker - Wells Fargo Securities LLC: Okay. So, if you're up mid-single digits, Keith, would you still keep expenses at that 2% consolidated growth or will there be a bump in expenses as well?
Keith Istre - Chief Financial Officer & Treasurer: No. We don't think so. On the last call, you asked what our expectations were for the year and we said we had been running sub-2% for the past several years. And so, I just threw out that 2% would probably be the match. But no, we don't see any – on a pro forma basis, we don't see any unusual items that would cause that to spike above that point.
Marci L. Ryvicker - Wells Fargo Securities LLC: Okay. And then the last question, is the seasonality of the Clear Channel assets that you acquired pretty similar to the seasonality of your own book, just so we can sort of figure out how to view your prior year historical base?
Sean Eugene Reilly - Chief Executive Officer: Sure. Yeah. There should be no difference in the seasonality. And what was gratifying to us is the performance of those assets almost mirrored our traditional outdoor assets that we've owned for such a long time. And as I mentioned, they exceeded our expectations. We guided back when we bottomed to about 2.5% pro forma growth for them for the year, if you recall, on that call back in January. And they did 2.9% in the first. So, we're happy and their pacings are exceeding our expectations thus far.
Marci L. Ryvicker - Wells Fargo Securities LLC: Great. Thank you so much.
Operator: Thank you. Our next question will come from David Miller with Topeka Capital Markets.
David W. Miller - Topeka Capital Markets: Hey, guys. Couple of questions. Sean, so I think it was 90 days ago that you talked about just seeing just some slight weakness in, I think you called it the oil patch markets like Lafayette, Louisiana and Norman, Oklahoma, et cetera. Given what's happened with the recovery of the price of oil, is that still the case? Have you seen some improvement there in those markets? And then, I just have a follow up. Thanks.
Sean Eugene Reilly - Chief Executive Officer: Sure. I think it's a little early in the game to declare recovery in the oil patch. Not only do you have to have the price of oil go up, you have to have business confidence follow. And I'm not so sure that in places like Oklahoma City and Houma and Midland that they're ready to declare all clear just yet
David W. Miller - Topeka Capital Markets: Okay. Fair enough. And then Keith, just given what you reported in Q1 on earnings per share, the previously-dispensed earnings per share guidance of $2.97 to $3.06 looks incredibly conservative for the year. I just want to make sure, is there anything that we should be aware of in either the current quarter or Q3, in particular, with regard to expenses or expense growth or depreciation or anything like that that might cause you to not come in at least at the high end of that guidance? Thanks.
Keith Istre - Chief Financial Officer & Treasurer: No. I mean, that's basically tied to AFFO as well. I mean, we use the same numbers...
David W. Miller - Topeka Capital Markets: Yeah.
Keith Istre - Chief Financial Officer & Treasurer: ...pretty much to get to both of those metrics. And as Sean said, we feel very good about our guidance at this point in time for both of those.
David W. Miller - Topeka Capital Markets: Okay. Thank you very much.
Operator: Thank you. Our next question will come from Alexia Quadrani with JPMorgan.
Julia Yue - JPMorgan Securities LLC: Hi. Thank you. This is Julia Yue on for Alexia. Now that you guys have been testing your automated buying system for a couple of quarters, could you give us an update on how that's progressing and if you think, based on the initial results, there's a greater opportunity to expand the initiative? And is this something that you guys maybe look to get more proactive in going forward?
Sean Eugene Reilly - Chief Executive Officer: Yeah. Thanks. What we're seeing there is – and these are small numbers, but we are seeing each month a little more billing flowing through that platform. So, for the month of March, just to give you an order of magnitude, a little bit better than $80,000 went through our automated buying platform. And again, it's growing. It's growing every month. Our philosophy on it is that we are trying to develop our platform so that any buying platform can plug into it. And so, in terms of the initiative, we started out with a single vendor and that vendor has grown its book of business, as I said, month-over-month gradually. But we're working with other vendors that can plug and play into our platforms. And I believe on the last conference I was at, I gave a shout out to one that we're working with now called Ayuda that we hope can help us grow that business. But again, it's something that we believe is going to play a role in our future and we're going at it in what we believe to be a thoughtful way.
Julia Yue - JPMorgan Securities LLC: Okay. Got it. And then I believe historically you guys have mentioned that political hasn't been much of a benefit to your business. Do you think that it could be more of a contributor this year? And if so, how much do you think it could help in the back half?
Sean Eugene Reilly - Chief Executive Officer: With one caveat, which is I don't want folks to view us as an ex-political medium like they view TV and radio, because it's not that order of magnitude. That said, political is going to play a bigger role in the back half of our year, unquestionably. We began seeing a little bit of a shift in the cycle four years ago. And I think it had a lot to do with how much money is now involved in Presidential races given the Citizens United case. But undoubtedly, there will be lots of money spent and some of it will come our way. Certainly, not in the same order of magnitude as what goes to TV and radio, but it's going to help our pro forma performance come the third quarter and fourth quarter.
Julia Yue - JPMorgan Securities LLC: Great. Thanks you so much.
Operator: Thank you. Our next question will come from Tracy Young with Evercore ISI.
Tracy Young - Evercore ISI: Yeah. Hi. I'm sorry if I missed this, but did you talk about the digital same station performance? Obviously, that was an improvement from prior quarter. Is that what you're seeing in Q2?
Sean Eugene Reilly - Chief Executive Officer: Yeah. We were up same board 3.4% on our digital platform and second quarter looks equally as strong, if not stronger. So, we feel, like I said, really good about where that platform is and where it could go.
Tracy Young - Evercore ISI: Okay. Great. And then, in terms of the airport business that you bought a while back, we haven't really discussed that. But is there anything that we should know in terms of milestones there, any changes that have happened in the last, I guess, year-and-a-half or so?
Sean Eugene Reilly - Chief Executive Officer: Yeah. So, we've owned it, I guess, now for something in the neighborhood of eight months. The business when we bought it, I think we told everybody that we expected something in the neighborhood of $23 million, $24 million in revenue contribution for 2016 and something in the neighborhood of $2.5 million in EBITDA contribution. So, that's the base upon which we're going to grow. We see that performance happening this year. So, we're comfortable with it. It's a good business. It's – I wouldn't call it material to our activities to date, but we hope to grow it.
Tracy Young - Evercore ISI: Okay. Thanks very much.
Operator: Thank you. Mr. Reilly, it looks like we have no further questions at this time.
Sean Eugene Reilly - Chief Executive Officer: Great. Well, look, thank you all for listening, and we look forward to getting together next quarter.
Operator: Thank you. This concludes today's presentation. You may disconnect at this time.